Operator: Good morning, ladies and gentlemen, and welcome to the Galiano Gold Inc. Full Year 2025 Results Release Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. If at any time during this call you require immediate assistance, please press 0 for the operator. This call is being recorded on Friday, 02/13/2026. I would now like to turn the conference over to Matt Badylak, President and CEO of Galiano Gold Inc. Please go ahead. Thank you, operator, and good morning, everyone.
Matt Badylak: We appreciate you taking time to join us on the call today to review Galiano Gold Inc. fourth quarter 2025 results that we released yesterday after market close. We will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary notes and risk in our most recent MD&A as well as this slide of the webcast presentation. Yesterday's release details our fourth quarter 2025 financial and operating results. They should be read in conjunction with our fourth quarter financial statements and MD&A available on our website and filed on SEDAR+ and EDGAR. Please also bear in mind that all dollar amounts mentioned on the conference call today are in US dollars unless otherwise noted. With me on the call today, I have Michael Cardinaels, our Chief Operating Officer, Matt Freeman, our Chief Financial Officer, and Chris Pettman, our Vice President of Exploration. This presentation, I will initially provide a brief overview of the quarter. Michael will discuss operations and touch on our updated mineral reserve and resource statement. Matt will discuss the financials and then Chris will review the recent exploration success his team has had at the AGM. I will then provide some closing remarks and open the call for Q&A. Here on Slide 5, we can see the team continued to build momentum during the fourth quarter towards an improved operational outlook in 2026. Let me walk you through some highlights on this slide. Safety remains our top priority, and I am proud to report that again no lost-time injuries were reported for Q4, maintaining a strong safety record and demonstrating our unwavering commitment to our workforce. Turning to production, we produced 37.5 thousand ounces of gold in Q4, up 15% from the 32 thousand ounces produced in Q3. As you can see from the chart, this marks the fourth consecutive quarter of improved gold production at the AGM, with Q4 production 80% higher than Q1, and full-year production totaling 121 thousand ounces, in line with our revised production guidance. Importantly, mill feed grades improved quarter over quarter and throughput in December exceeded the targeted 5.8 million tonne per annum run rate. From a financial perspective, cost control remains robust on site with all-in sustaining costs reducing quarter on quarter to $2,033 per ounce and ending the year in line with the guidance range. Revenue came in at a record $160 million, up 40% quarter over quarter from $114 million. This was driven by higher production and improved gold prices. Our balance sheet remains solid with cash balance remaining stable despite increasing our rate of spend on stripping at Enkran and making a $25 million deferred payment to Gold Fields. During the quarter, we also established a $75 million revolving credit facility providing us with further financial flexibility to continue to invest in our operations, particularly as we advance stripping at Enkran and invest heavily in exploration activities in 2026. The inclusion of a maiden underground mineral resource reshapes the future potential of resource growth at the asset. We have planned an aggressive exploration program for 2026, targeting the expansion of these underground resources and reserve growth at Esaase through conversion drilling of inferred ounces. The momentum we have built throughout the year positions us strongly to meet our production guidance target of between 140,000 to 160,000 ounces this year, which is a 25% increase from 2025 levels. Michael will provide more color on this later. And with that, I will hand it over to Michael to discuss operations in more detail. Thank you, Michael, and good morning, everyone. Starting with safety, the previous quarter's improvement continued without any lost-time or recordable injuries in Q4.
Michael Cardinaels: We finished the year with a lost-time injury frequency rate of 0.24 and a total recordable injury frequency rate of 0.48 per million hours worked. In terms of mining production, Esaase mining restarted in early November and is currently ramping back up production in Q1 2026. Late wet season rains had a slight impact on mining movement, but the necessary switch to concentrate on production from Abore in 2025 provided positive movements in terms of mined ore tonnes, and the average grade of ore mined increased 9% compared with the previous quarter. Enkran pre-stripping continued ahead of plan with 23% more material moved compared with Q3, including some small quantities of oxide ore which are being identified during the mining process and opportunistically blended with Abore fresh ore to supplement the plant feed. An additional excavator fleet is expected to be operational before the end of Q1 2026 to continue the expansion of cut three.
Matt Freeman: of cut three.
Michael Cardinaels: We plan to mine in excess of 30 million tonnes this year, which is three times the movement of 2025, for an approximate spend of between $100 million and $120 million of development capital. This maintains an Enkran cut three schedule to deliver steady-state ore production from early 2029. On Slide 8, we can see the processing performance. Ongoing modifications in the circuit to fully optimize the performance after the commissioning of the secondary crusher continued in Q4 and yielded further positive results, with December production achieving an annualized rate at the target. Milling rates increased approximately 7% compared to Q3 to 5.8 million tonnes per annum, with an average of 1 gram per tonne for the quarter. Mill feed grade also improved approximately 9% compared to Q3. The increased grade and feed blend also had a positive impact on plant recovery with Q4 achieving an average of just above 91%.
Matt Freeman: The increased grade throughput
Michael Cardinaels: and recovery all culminated in an increase in gold production for Q4, up 15% versus Q3's production of 32.5 thousand ounces to 37.5 thousand ounces. We finished the year producing just over 121 thousand ounces, which was in line with our revised forecast.
Matt Freeman: Overall, you can see
Michael Cardinaels: a production increase for each of the last four quarters, showing a strong positive trend for performance across all of our metrics. On Slide 9, we are providing information on the guidance. Looking forward to 2026, we once again expect the majority of ore supply to come from the Abore area where we have made modifications to our reserve pit design to take advantage of higher gold prices. This will result in a slightly slower ramp-up of gold production in 2026 but enables us to further increase the recovery of our resource. Grades will continue to increase with depth at Abore as was seen in 2025. Production will be somewhat weighted towards the latter half of the year and continue into 2027 as we recover the higher-grade material at depth. We expect a range of between 60 to 70 thousand ounces in the first half of the year, and 80 to 90 thousand ounces in the second half of the year. We are providing production guidance for the full year in the range of 140,000 to 160,000 ounces, at an all-in sustaining cost of between $2,000 and $2,300 per ounce. I will now hand over to Matt Freeman to discuss Q4 financial results. Thanks, Michael. Good morning, everyone.
Matt Freeman: As Michael outlined, the fourth quarter was
Michael Cardinaels: from this operation in 2025 and assisted by the very strong price of gold, we generated record revenues of $160 million and generated cash flows from operations of $56 million.
Matt Freeman: Our headline earnings numbers continue to be impacted by the losses on hedges, but we now have only 60,000 ounces left to settle, which represents a lower percentage of production in 2026.
Michael Cardinaels: Therefore, this allows us to more fully participate in the price of gold going forward.
Matt Freeman: Adjusting the unrealized losses on hedges to be settled in 2026, we recognized adjusted net income of $0.15 per share. From a treasury perspective, the balance sheet remains very healthy with over $100 million in cash even after paying the first deferred amount to Gold Fields. Additionally, we were pleased to close the $75 million credit facility, which remains undrawn but will provide us with additional liquidity should the need arise. Slide 11 illustrates that our operating costs remain consistent period on period.
Michael Cardinaels: And have generally been well controlled by the site.
Matt Freeman: In particular, you can see processing costs have consistently fallen on a unit basis through 2025 as the throughput has improved. Capex remains focused on critical projects, such as the tailings dam raise. AISC, as expected, fell significantly compared to the preceding quarters in 2025. This is primarily due to the higher production levels and demonstrates the leverage our margins have to higher production.
Michael Cardinaels: We have guided AISC for 2026 to between $2,000 and $2,300 per ounce for
Matt Freeman: that period, much of the elevation compared with Q4 2025 due to the growing royalty burden with consistently high gold prices being forecasted in 2026. Ultimately, this is good for business, but it does increase AISC in a manner which is beyond our control. The chart does demonstrate the increasing royalty burden we have seen through
Michael Cardinaels: 2025 as a result of a significant increase in gold prices.
Matt Freeman: But it also demonstrates the unit costs we can control will continue to fall as production improves. As many of you know, a new royalty regime has been proposed by the Ghanaian government, so we will assess that impact on AISC if it finally becomes enacted. As noted in my opening remarks, we have been able to maintain a strong cash position at around $100 million, and we are very happy with this given we have now settled the first payment to Gold Fields, continued to ramp up stripping activity at Enkran, having invested approximately $35 million in 2025,
Michael Cardinaels: and have made our first annual income tax payments in Ghana.
Matt Freeman: Looking forward, we do expect 2026 to be another year of investment in the mine with further acceleration of stripping at Enkran,
Michael Cardinaels: and the final deferred payment to Gold Fields. This year is a real inflection point
Matt Freeman: because in 2027, we will be past the fixed payments to Gold Fields
Michael Cardinaels: and fully exposed to the gold price.
Matt Freeman: This means that even assuming the new royalty regime comes into play as proposed, or there is a significant reversion in gold prices, the company will be well positioned to generate significant cash flows for shareholders. And with that, I will turn the call back over to Michael to run through our updated mineral reserve and resource statements.
Michael Cardinaels: Thank you, Matt. Here on Slide 14, the key highlight for this year is the declaration of our maiden underground resource. The open cut resources for Enkran and Abore have been limited to the current reserve pit shells to allow us to target higher-value underground ounces in our underground maiden resource definition as we look to the future for both pits transitioning to underground operations. Chris will outline the potential for reserve expansion that we see at Esaase over the next twelve months. The table shown is a summary of our MRMR as at 12/31/2025. For detailed tables, please refer to the appendices and the recent news releases. Here on Slide 15, this section through the Enkran deposit shows the current reserve shell and the newly defined underground resource stopes. As you can see, we have a strong correlation between drilling density and stope generation, which gives us a great deal of confidence that this resource will likely expand with additional drilling. On Slide 16, we show a comparable long section view for the Abore deposit, and, again, it shows a similar story that stopes are able to be generated where we have drilling data, and because, like Enkran, these mineralized systems are open in multiple directions, there is a likelihood that additional drilling will also yield additional underground resources here at Abore. And with that, I will turn the call over to Chris to outline the recent exploration successes at the mine and future exploration plans.
Chris Pettman: Thanks, Michael.
Michael Cardinaels: Q4 was another busy quarter at exploration as we ended the year with a concerted effort to maximize the amount of infill and step-out drilling at Abore completed by December in order for results to be included in the maiden underground resource
Chris Pettman: outlined by Michael. I am very pleased with the team's ability to safely and cost-effectively deliver an additional 10,950 meters of drilling in partnership with our drilling contractors in Q4. As we have discussed in prior quarters, drilling results at Abore were excellent in 2025, leading to the expansion of the program to include a total of over 33,000 meters by the end of the year. Q4 drilling continued to deliver excellent results, including expanding the high-grade zones at Abore Main and Abore North, further proving continuity of high-grade mineralization at Abore South, and expanding the footprint of mineralization up to 200 meters below previous drilling as outlined in our January 22 press release. Some of the highlighted intercepts of this drilling are shown here on Slide 17.
Operator: Slide
Chris Pettman: Slide 18 shows a gram-meter long section of Abore with Q4 drilling locations and intercepts, along with areas where high-grade mineralization has been expanded and continuity improved at the Abore South, Main, and North pits. This image also shows the location of four step-out holes drilled between 100 and 200 meters below existing drilling. These holes were designed to test for continuations of the Abore granite and further high-grade mineralization. All four holes successfully intersected mineralized Abore granite, showing once again that the Abore system has significant growth potential. Particularly encouraging is OLP-448, which intersected 87 meters of granite containing three zones of mineralization at grades of 2.5, 3.0, and 3.4 grams per tonne over 27, 11, and 15 meters respectively, in an area that is 200 meters below existing drilling and open in all directions. That hole, 448, is shown in cross section here on Slide 19, along with hole 444, which intercepted a wide high-grade zone consisting of 30 meters at 4.4 grams per tonne, and 18 meters at 2.0 grams per tonne immediately below the previous open pit resource. This is a really good example of the room we have to grow the mineral resource in 2026. While we have confidence in Abore as the driver of future value at the AGM, exploration work in 2026 will focus on continuing to build on the momentum generated by the success of the 2025 program. With an initial budget of $17 million, work will focus on three primary growth objectives as we look to support a potentially transformational life-of-mine update in 2027. We see significant opportunities to grow the underground resources and reserves at Abore, and we are planning for a minimum of 30,000 meters of drilling in 2026. At Esaase, we will be focused on growing the open pit reserves at higher gold prices with up to 35,000 meters of conversion drilling. We will also continue to advance our portfolio of greenfield targets, where our focus will remain on early stage work and drill testing of targets in the Ensaroma area, located approximately six kilometers southwest of Enkran. First-pass drilling in 2025 confirmed the extension of the Enkran shear through this area along with favorable host rocks, quartz veining, and alteration patterns, and we remain enthusiastic about the potential for discovery of new open pit resources in this area. At Abore, we will continue to aggressively test for continuations of mineralization through step-out and infill drilling designed to increase the underground mineral resource while also conducting targeted conversion drilling to increase the amount of indicated resource available for inclusion in a potential maiden underground reserve in 2027. Slide 21 here shows a long section through Abore with the locations of Q4 drilling and the new underground resource showing all grades greater than 2 grams per tonne. High-priority targets for 2026 are shown by these yellow stars. As part of our short- to medium-term exploration strategy, we will also be working in conjunction with the mining team to advance the necessary studies and workflows for potential development of an underground portal and exploration drilling adit that would be used to conduct future underground delineation drilling and deeper exploration target testing. Due to the density of existing drilling below the current mineral reserve pit shell, we are uniquely positioned to realize immediate reserve growth at higher gold prices without additional drilling, allowing us to add value to the AGM quickly in the current gold price environment. In order to maximize that value, exploration will return to Esaase in 2026 with a campaign of conversion drilling designed to convert additional inferred resources to indicated category at a gold price of $2,500 ahead of the 2027 MRMR and long-term plan update. Here on Slide 22, we are showing a cross section through Esaase with an example of a target area for conversion drilling in 2026 and it is indicative of our targets across the entire deposit where drill density limits the extent of the indicated resource. Our 2026 program is well underway with rigs active at both Abore and Esaase, and we anticipate 2026 will be even busier than 2025 for our exploration team, but we are well resourced and well positioned to deliver significant value to the AGM through resource and reserve growth this year.
Matt Badylak: Back to you, Matt. Thank you, Chris. In closing, I would like to reiterate
Operator: that
Matt Badylak: I would like to reiterate that the positive momentum built through 2025 places us in good stead to realize meaningful production growth in 2026 and to execute our medium- and long-term organic growth plans. Our steadily growing production profile, execution of the final deferred payment to Gold Fields, and the expiry of hedges later this year will result in a near-term inflection point in cash flow generation which should subsequently drive shareholder value. Beyond this, we have developed a robust exploration strategy and clearly understand where further expansion of mineral reserves and resources will come from. I am excited about the potential mine life extension beyond eight years as we look to include underground mining
Operator: and target expansion of open pit reserves.
Matt Badylak: Our strong cash balance and access to the revolving credit facility allow us to aggressively invest in exploration while comfortably funding waste stripping activities at Enkran. Also, a reminder that Galiano Gold Inc. is highly leveraged to the gold price and remains Ghana's largest single-asset gold producer. With production increasing by approximately 25% in 2026, line of sight to reserve expansion, and high and record gold prices, the potential for value creation for our shareholders remains high. With that, I would like to turn it back to the operator and open up for questions. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by 2. If you are using a speakerphone, please lift the handset before pressing any keys. One moment please for your first question. Your first question comes from Vitaly Kononov with Freedom Brokers. Your line is now open.
Vitaly Kononov: Yes. Hello, gentlemen, and thank you for the presentation.
Heiko Ihle: I have several questions. For the production, heavily weighted towards 2026, what are the key execution risks we should monitor and how confident are you in achieving the ramp-up profile?
Matt Badylak: Risks. Well, I think the key risks that we see, obviously, are we are aware of the fact that throughput has an important role to play here and we are really pleased in terms of the way that crusher has ramped up over 2025, and I am comfortable that that crushing circuit will help deliver nameplate production in the range of 5.8 million tonnes per annum. The other thing I think that Michael touched on here is the fact that we are expecting grades to increase steadily as we continue to mine through lower elevations of Abore. And those two factors will be driving that production higher in 2026, and as we said, slightly weighted to the tail end of the year as well. Thank you.
Heiko Ihle: Well, given the downward revision to the guidance that was provided early in 2025, it was lowered down. How does that impact your five-year outlook from now on?
Michael Cardinaels: Well, we expect to, as I said, have a slightly lower production profile in 2026, but we expect to ramp up further in 2027 more in line with previous guidance in terms of production levels.
Matt Badylak: Thank you. Thank you. So just the last one.
Heiko Ihle: Following the maiden underground resources of Abore and Enkran, when should we expect the initial economic studies published for those mines?
Michael Cardinaels: We will be working on, as Chris mentioned, additional drilling to supplement the underground resource that was just released, and we will be working through the studies this year with the aim of having something available in 2027.
Heiko Ihle: So that will be released with the annual results of the next year, right?
Michael Cardinaels: That is correct. That is the plan at this point in time. Got it. Thank you. I think I am good.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Matt Badylak: Thank you, operator, and thank you everyone for dialing in and asking questions. Thank you for your time today. I wish you a happy Friday and a good weekend. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.